Operator: Good morning. My name is Katy and I'll be your conference operator today. At this time, I'd like to welcome everyone to the AutoNation Third Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to turn the call over to Rob Quartaro, Vice President of Investor Relations. You may now begin your conference.
Robert Quartaro: …2021 conference call and webcast. Please ensure that your [Technical Difficulty]. Leading our call today will be Mike Jackson, our Chief Executive Officer; and Joe Lower, our Chief Financial Officer. Following their remarks, we will open up the call for questions. I will be available by phone, following the call, to address any additional questions that you may have. Before we begin, let me read our brief statement regarding forward-looking comments. Certain statements and information on this call, including any statements regarding our anticipated financial results and objectives, constitute forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve known and unknown risks that may cause our actual results or performance to differ materially from such forward-looking statements. Additional discussions of factors that could cause our actual results to differ materially are contained in our press release issued earlier today and in our SEC filings, including our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q and current reports on Form 8-K. And now, I'll turn the call over to AutoNation's Chief Executive Officer, Mike Jackson.
Mike Jackson: Good morning and thank you for joining us. Today, we reported all-time record quarterly results with earnings per share of $5.12, an increase of 115%, compared to adjusted EPS of $2.38 last year. This marks AutoNation's 6th consecutive all-time record quarter, driven by strong performance across both variable and fixed operations. Our third quarter same store revenue of $6.4 billion was up 18% compared to the prior year, as well as the third quarter of 2019. Consumer demand continues to outpace supply, driven by consumer desire for personal transportation, and ongoing manufacturers' supply-chain disruption. We expect this to continue well into 2022. New vehicle sales are currently constrained by reduced production volume, low inventory levels, leading to even more pent-up demand and should support sales for the foreseeable future. In our used vehicle business, our strong self-sourcing capability, digital tools, and customer-focused sales processes are competitive advantage that has allowed us to outperform our peers and the broader used vehicle market. In the third quarter, we self-sourced 90% of our pre-owned vehicle retail sales, and our same store used vehicle revenue increased 53% year-over-year. We see additional opportunity to capture used vehicle market share through our AutoNation USA expansion. This week we opened our 8th AutoNation USA store and our second store in the Denver market. And we expect to open 2 additional stores in Phoenix and Charlotte before year-end. Our rollout schedule remains on track with 12 additional stores planned for 2022 and over 130 stores by the end of 2026. Today, we announced that we signed an agreement to acquire Priority 1 Automotive Group, adding $420 million in annual revenue. Together with our previously announced acquisition from the Peacock Automotive Group, AutoNation has announced $800 million in annual revenue from acquisitions this year. We also continue to buy back our shares during the third quarter. Over the last 12 months, through the end of the third quarter, we repurchased 27% of our shares outstanding from September 30 last year. Our strong execution and cash flows have positioned us well to continue our disciplined opportunistic capital allocation strategy. I now turn the call over to Joe Lower, our Chief Financial Officer.
Joe Lower: Thank you, Mike, and good morning, everyone. I'm going to start the same place as Mike opened. Today, we reported net income of $362 million, or $5.12 per share versus adjusted net income of $212 million, or $2.38 per share during the third quarter of 2020. This represents our 6th consecutive all-time high quarterly EPS and a 115% increase year-over-year. As Mike mentioned, consumer demand for personal transportation remained strong, while new vehicle inventory is at historically low levels. In this environment, we continue to focus on optimizing new vehicle margins, and procuring used vehicle inventory to support sales. We expect these trends with demand exceeding supply to continue well into 2022. For the quarter, same-store variable gross profit increased 42% year-over-year, driven by an increase in total combined units of 4% and an increase in total variable PVR of $1,709, or 39%, a decline in new units of 11% was more than offset by growth in used units of 20%. Our Customer Care business has recovered with same-store Customer Care gross profit increasing 8% on a year-over-year basis, and 6% compared to the third quarter of 2019. Taken together, our same-store total gross profit increased 29% compared to the prior year, and 45% compared to the third quarter of 2019. We also continue to deliver significant SG&A leverage due to strong cost discipline and robust vehicle margins. Third quarter SG&A as a percentage of gross profit was 56.9%, a 750 basis point improvement compared to the year-ago period on an adjusted basis. As measured against gross profit on an adjusted basis, our metrics improved across all key categories with overhead decreasing 390 basis points, compensation decreasing 290 basis points and advertising decreasing 70 basis points. We expect SG&A as a percentage of gross profit to remain below 60% for the fourth quarter and the full year of 2021. Floorplan interest expense decreased to $5 million in the third quarter of 2021 due primarily to lower average floorplan balances. This combined with a lower effective tax rate, and fewer shares outstanding generated our record EPS. Turning to the balance sheet and liquidity, our cash balance at quarter end was $72 million, which combined with our additional borrowing capacity, resulted in total liquidity of approximately $1.8 billion. We continue to leverage our strong balance sheet and robust cash flows to invest in our business. As Mike mentioned, this week we opened our 8th AutoNation USA store in Denver, Colorado. We remain on track to open 2 additional stores in the fourth quarter and 12 more in 2022. As again Mike mentioned, with longer-term, we continue to target over 130 stores by the end of 2026. In addition to organic growth vision is, today we announced the acquisition of Priority 1 Automotive Group, we will continue to look for additional acquisitions that complement our portfolio and meet our return thresholds. We have also continued to repurchase our own shares, during the third quarter repurchased 7.9 million shares for an aggregate purchase price of $879 million. This represents an 11% reduction in shares outstanding for the fourth quarter alone. Today, we announced that our board has authorized an additional $1 billion per share repurchase. With this increased authorization, the company has approximately $1.3 billion available for additional share repurchase. As of October 19, there were approximately 66 million shares outstanding. Despite our significant capital deployment, we maintain ample capacity on our balance sheet. At the end of the third quarter, our covenant leverage ratio of debt-to-EBITDA was 1.4 times of slightly from 1.2 at the end of the second quarter, but still well below our historical range of 2.0 to 3.0 debt-to-EBITDA. We continue to demonstrate strong operational execution and disciplined capital allocation. Going forward, we will remain focused on leveraging our balance sheet and strong cash flows to drive long-term shareholder value. With that, I will turn the call back over to Mike.
Mike Jackson: Thank you, Joe. It's been my honor to serve in a leadership position of AutoNation for the past 22 years. We built an exceptional brand. We are America's most admired and respected automotive retailer. We provided peerless customer experience from coast to coast. And we have made a difference in people's lives through DRIVE PINK in our efforts to beat cancer. I am forever grateful to all the associates of AutoNation for these achievements. And thank them for all their efforts, especially through this pandemic. And I'm thrilled to welcome Mike Manley as the next CEO of AutoNation. He is one of the world's most respected, admired automotive executives. And we are thrilled to have him as our new CEO. And AutoNation has an even brighter future. With this, I'm happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of John Murphy from Bank of America. John, please go ahead.
John Murphy: Good morning, guys. And, Mike, congratulations again on a fantastic long run. It's good to go out on top, although I think the top is going to keep going up. So I think your legacy will be well heeled here and I'd say goodbye. But I'm sure we'll stay in touch. And you never know when you're going to pop back up again, Mike. So thanks. Thanks for everything. First question here, you alluded to the supply/demand imbalance lasting well into 2022. I mean, from what we are hearing and modeling, that's going to last at least through the first half of next year, and probably well into the second half, and maybe even 2023. So you're going to have this high class issue of high GPUs, presumably continued good performance here, and you're going to generate a boatload of cash. How do you think about cap allocation? You're turning the tap back on a little bit here, more on acquisitions. You're buying back shares. You're opening AutoNation USA stores. I mean, you're structurally growing the footprint of this company and it's still being under appreciated by the market. I mean, how do you think about this? And if anything changed and as we fast-forward the clock, I mean, simple dumb guy stuff like, say, you bought back 11% of the shares and you acquired revenue of 4% of the company, so 15%, higher EPS go forward just on those cap allocation, very simple thought process there. But you're going to do a whole lot more of this, at least over the next year or so. I mean, is anything changing? And how should we think about that capital being deployed, because it's pretty aggressive, but not wild at the moment?
Mike Jackson: Got it. John, a few things. So, look, I expect more demand than supply well into next year. And as you said, maybe into 2023, but why talk about that today. And we have a tremendous percentage of the income pipeline presold. And I expect as the production distortions and disruptions settle down, they will come in and go out. They're not going to go to inventory. So it's a long journey to more inventory. But I'm in your camp, John. So what, as long as they're coming in and going out? And our strategy of growing revenue by giving customers a choice with pre-owned and obviously been very successful, very compelling, same time we've been disciplined on the cost side. And, yes, we view, since we're bullish about AutoNation and the outlook, we viewed share repurchase as an opportunity, which we have seen. And if I go back over the past 12 months, it's 27% of the shares outstanding have been repurchased. And while we announced the $1 billion of Board authorization on share repurchase, of course, that's a step-by-step opportunistic decision. And on that forward issue and what it means, what we've done in the past, what it means, Joe, just as a mathematical calculation and how you think about capital going forward.
Joe Lower: Thanks, Mike, and thanks, John. John, with your point, it starts with actually having capital. And we have plenty, both from a robust cash flow and a strong balance sheet. As you know, we've demonstrated that through the pandemic and prior. And we are the only standalone auto retailer with investment-grade ratings. So starting there, it comes into an investment prioritization and really looking at after-tax returns. As we've indicated before, for us the highest return has been organic investments into AN USA. We've laid out a plan. I think we've also been pretty candid in saying, so far, we've actually exceeded our own plans and very pleased with that progress. Anticipate we'll continue to deploy capital along those lines. We've said throughout that where there are attractive opportunities for M&A, we will pursue them. Year to date, we've announced 2 acquisitions of size, $800 million of revenue acquired and we'll continue to search and assess. And try to identify those that both fit a strategic and financial return. And then there is share repurchase. And particularly with our outlook, combined with relatively attractive valuation, given any historical perspective on multiples, we've been extremely opportunistic. And as we've done all that and look forward, we realized we'd have significant capital deployed. And we'll use the same disciplined and a balanced approach going forward.
John Murphy: Okay. Just a quick follow-up on that. I mean, I think it's pretty easy to understand buybacks have an immediate return, acquisitions relatively quick return. If we think about the AutoNation USA store in investment, how fast you think that return on investment turns positive, meaning how fast are these stores, now that you're kind of running, not hot yet, but running more normally on store openings, how faster they become profitable and accretive to the equation, because I think that's the only part of the equation where there's a lag-time on the return of this capital, this mass capital you're generating and redeploying, coming in sort a later date? I mean, how fast is that return?
Mike Jackson: John, what we want to do is grow the business with the highest return, and being in control of our own destiny. So, in many ways, the hard part is done. We've built the brand. We have the digital platform. We have the stores, how they operate as delivery centers, speed to market reconditioning centers, acquisition centers, those are the 3 principal activities that take place within a USA store. We've defined the footprint that it's highly efficient and effective, exactly what it needs to be. And our speed to profitability has been even better than our plan. And really, the critical path is how quickly we can develop the right sites and build the stores. So every year, we expect there to be more than the number that we can build. It could even be more than the year before. And as of today, we're declaring 12 for next year. But, Joe, why don't you talk about something about the returns?
Joe Lower: Yeah. So you recall, when we rolled out the expansion of AN USA, we gave a sample model. At that time, we thought breakeven would occur within the first 12 months. We're actually realizing that in the first, if not, second month. So the success of the model has proven to be very robust. We mentioned that the monthly pre-tax on a full run-rate would be up to $200,000 a store per month. We're seeing that being realized much more quickly than originally anticipated, and the investments that we articulated originally in a $10 million to $11 million range. Even in this environment, we're able to achieve that. So we remain very optimistic. The AN USA stores in total contributed almost $5 million in pre-tax in the quarter. So again, as Mike mentioned, we're very pleased with the progress. We're exceeding our own plans. And we'll continue to evaluate how to appropriately accelerate that going forward.
Mike Jackson: And what's important within that, John, is we're now opening USA stores outside the traditional footprint of AutoNation. And that is going extremely well, launching the brand in new markets. So we're very optimistic and confident about the future of AutoNation USA and the returns it will produce and the fact that we can grow this company in effect organically with the brand without paying goodwill, and we control the pace of the growth.
John Murphy: Yeah, it's very exciting. Last question for me on customer care. Momentum seems to be building. Obviously because of the shortage of inventory, people are holding on to their cars longer and driving more. So, I mean, I think it's been an expectation that as the economy reopens people drive more, you'll get a bump. But there hasn't been sort of that second thought process of people are holding their cars longer, so they're willing to do more maintenance or need to do more maintenance, not even willing, but need to do more maintenance. And how do we think about those 2 factors benefiting same-store sales on Customer Care? And are we still at the early edge of the reacceleration there?
Joe Lower: Well, we clearly have seen real acceleration with us now, right, exceeding 2019. The strong areas, obviously being areas of customer pay have continued to perform well versus both 2020 and 2019. The one area that continues to be just a little bit of a laggard this collision, we do anticipate as miles continue to improve that will fully recover. But overall, we're very pleased with the progress we're seeing in the business, and despite concerns about part shortages, continuing to demonstrate growth over both 2019 and 2020. So, we're cautiously optimistic that will continue to see those trends improve, as we kind of proceed through this year and continue to kind of see people increasingly returned to the roads.
John Murphy: Great. Thank you very much, guys. Appreciate it.
Mike Jackson: Great, John. Thanks.
Joe Lower: Thank you.
Operator: Your next question comes from Rajat Gupta from JPMorgan. Please go ahead.
Rajat Gupta: Great. Thanks for taking the questions. And, Mike, I just want to echo John's comments as well. Congrats on a great career and best of luck going forward. Yeah, I just had couple of questions, just starting with F&I. Really strong numbers here in the third quarter, despite the lower mix of new vehicles versus used, I'm sure the ASPs had a benefit there. But just curious, is there anything else that's going on there maybe penetration for some new products that's driving that number? And just curious us to how we should think about the sustainability of that? And I just have one follow-up on SG&A.
Joe Lower: Hey, Rajat, I'll answer that. So first of all, your assumptions and observations are correct as far as the relative F&I or CFS, as we call it, between new and used, but the real driver for us has been increased penetration. And as we continue to see that improve, but obviously impacts whether it's new or used, which has resulted again in very favorable trends pretty consistently over the last several quarters, and our expectation is that will continue. The pace of improvement, we obviously watch closely, but we don't see any significant threats to what we're doing in that part of the marketplace just given the fact that it really is driven by penetration rather than other factors.
Rajat Gupta: Got it. And the penetration is that across both finance and service contracts is one versus the other driving that, just trying to thing like which part of that might be more longer-term, finance maybe benefiting from just the higher ASPs and lower rates, I guess, because the monthly payments are optimized. But just curious the service contracts sort of - yeah…
Joe Lower: No, it's more product, if you want to call it service, it's really more driven by that, as I think, about two-thirds of F&I for us is comes out of product versus financing. And we continue to see that area grow in the number of products, and the number of customers that we're penetrating. And so, it's much more of that than it is a financing or rate issue.
Rajat Gupta: Got it. Got it. Just on SG&A, you've given some good color, Joe, the past round like the sensitivity there and what your medium-term targets are? But how should we think about even like productivity continues to get better every quarter? Is there any change to how you're thinking about that ratio longer-term or maybe like just making changes in your incentive model even in the store that could also lead to a more structural change to that number? F&I is looking much higher than before that has more leverage. So just curious, any updated thoughts there, and if we can get any updated sensitivities around SG&A to gross versus just GPUs, once you're back to more normal supply demand environment? Thanks.
Joe Lower: Sure. The way I think about it, we always talked about the 3 buckets: we talked about compensation; we talked about advertising; we talked about a store and corporate overhead. As I look at those items, let's start with store and corporate overhead from a dollar standpoint flat year-over-year, so obviously maintaining that discipline through the increased activity, the business is very important. I anticipate that we'll continue to maintain that strong discipline within the store and corporate overhead line. Advertising, modest increase in total dollars year-over-year in part driven by rates, but again very modest, we'll continue to watch that closely. That also improve though as a percentage of gross, and then you get the comp. And compensation increased about $83 million, $81 million of that was variable comp in the stores with candidly as the model you want, which is obviously record gross profit that's being generated in the stores, but that's going to translate into the compensation and obviously that will vary as does profitability. So I feel like we are maintaining the discipline we need, despite always looking for ways to continue to drive our cost and acknowledge that variable comp will fluctuate as it should with a model that really is predicated upon production. And so that's kind of why I think about the model and why I feel pretty good about where we are and why I feel confident. As I look out the next couple of quarters, seeing the success we're having and maintaining the discipline on controllable cost and recognizing the only real fluctuations are variable associated with compensation in the stores.
Rajat Gupta: Got it. Got it. But there's no change to like this long-term [SG&A change in gross] [ph] level, and you indicated like 65%, 66%. So just that's still pretty much on track, right, for a normalized number?
Joe Lower: Yeah. It's going to be a long-term thing. But I clearly think, we've demonstrated that we can operate the business at a lower relative cost than was done historically in large part by the deployment of digital tools that are making our sales and service associates far more effective. And that's translating into the fact that we've been able to continue to operate with 3,000 plus fewer heads within the store environment on a same-store basis year-over-year.
Rajat Gupta: Understood. Great. Thanks for all the color. And I'll get back in the queue.
Joe Lower: Thank you.
Mike Jackson: Thank you.
Operator: We take our next question from Rick Nelson from Stephens. Please go ahead.
Richard Nelson: Hello. Thanks. Good morning. Mike, congrats on a great career. It's been a pleasure to follow, if I remember early days at AutoNation, I think you had 400 million shares outstanding, pretty incredible. So, I guess, to start maybe if you could provide some color around M&A like the environment there. You announced a new deal today, Priority 1, I'm curious about that acquisition. If you could comment on kind of multiples that you're saying out there that would be helpful?
Mike Jackson: So, we obviously are thrilled with the M&A we did this year. And so, we have a broad view of the opportunity on capital, and we look at the returns across all capital opportunities. And as you know, we do share repurchase as an opportunity to buy AutoNation ourselves, but there certainly are acquisition that we're just thrilled to have. And on the new vehicle franchise absolutely fit into our footprint and our operating structure, and we're delighted with what we've done. But at the same time, we intend to grow with AutoNation USA, and we intend to invest in our existing stores, we intend to invest in our digital capability, so it's sort of a brand position of doing all of the above. So when we see an acquisition that the returns look very good to us and from a concern operating point of view, it fits with us, we will not hesitate to make the acquisition.
Richard Nelson: Thanks for that. Also curios on the inventory, you're sitting with 10 days of supply here at the end of the quarter on the new car side. Curious, where do you think we'll go from here? Do things get tighter over the near-term? Or are things starting to get better from a production standpoint? And which of the OEMs, do you think are starting to ramp production and which ones are coming slower?
Mike Jackson: On the production side, it's been an unpredictable journey with almost every forecast or information we are getting from manufacturers. There has been surprises and twists and turns. And here we are in the fourth quarter of 2021, and chip shortage and component shortages remain a serious disruption to the production of new vehicles. My feeling is, and if you look at the history, I have actually always been reticent to say, what I think is going to happen, because of that unpredictability. My sense is that sometime in the first half of next year production will begin to return to a trend line that is more recognizable. But I don't think that will show up in inventory. So then theoretically - and there can be distortions, when the numbers get these extreme. The days supply number could move, but we don't really focus on it at that point. So our inventory is maybe about as low as we can take it, considering the friction of cars actually arriving being fairly going out the door, we're down 5,000, 6,000 units. But that's - we've demonstrated the ability to manage the situation very well. We saw the opportunity with pre-owned, nearly new, that's aggressively being out there purchasing them and have been able to sell them and just look at the phenomenal growth in our pre-owned business with a revenue improvement of 57%. And we have adjusted pricing to reflect that the supply demand situation that exists in the marketplace. And we have consumers that are basically choosing to do 1 of 3 things. They say, yes, that vehicle is close enough to what I want. And I understand the pricing situation, and they purchase the vehicle, or they buy something nearly new, or they pick something that's in the pipeline, or they tell us they want to see us next year. And in that last category, we count that as pent-up demand, because the new vehicle business is running below any sort of trend that you can think of. So hopefully, this is the bottom of where production is, and then we see gradual improvement. Inventories are about as low in my opinion, as we can physically take them. But, of course, our operations are looking at every vehicle to see if we can take it lower, but it can't be meaningful if we're down to 5,000, 6,000 new vehicles in stock.
Richard Nelson: That's great color. Thanks a lot. Good luck and look forward to staying in touch. Thanks.
Operator: We take our next question from Bret Jordan from Jefferies. Bret, please go ahead.
Bret Jordan: Hey, good morning, guys.
Mike Jackson: Good morning.
Joe Lower: Good morning.
Bret Jordan: On the AutoNation USA side of the business as you've got a few more units out, are you seeing attachment with customer pay service? Is that a model that's going to build out as these people bring their cars back post purchase?
Mike Jackson: We don't really think so, that was one of our learning from the prototypes that we launched earlier. And we modified the layout of the facility and took cost out, because we didn't see that as an opportunity. So now we have the cost for the store down to $10 million, $11 million. And the purpose of the facility is delivery center. And typical delivery to a customer at a delivery center remains where 95% of the customers want to be absolutely. Repositioning to a high standard that it can be done cost effectively and quickly, I can't appetite that enough. And acquisitions that were customers can - consumers can bring the vehicle and get a check for their vehicle. That's the role of AutoNation USA store. And we have modified the level of investment for the fact that we don't see a big customer service component within that facility.
Bret Jordan: Okay, great. And then, I guess, on the collision side, you're putting 17 of your stores to caliber, is that something that you sort of see strategically you're reducing collision exposure, I mean, you sort of talk about how you see that segment going forward?
Joe Lower: Yeah, that was the result of a strategic review of the business and looking at where we were generating the highest profitability. We are clearly not exiting the business, but we saw it as an opportunity where we could improve the returns on those facilities through a partnership. As you saw in the recent acquisitions, we've actually through the 2 recent acquisitions added 4 additional collision center. So we do see collision is a very complimentary business. But where it is not really complimentary to our business, the relationship we established with caliber really is a higher return for us and that with the rationale behind the decision.
Bret Jordan: Okay, great. Thank you.
Operator: We take our next question from Stephanie Moore from Truist. Please go ahead.
Stephanie Benjamin: Hi, good morning, and congrats on a great quarter.
Mike Jackson: Thank you.
Stephanie Benjamin: I think, you've talked a lot about more of the supply side of the equation this morning. I'd love to get your thoughts on just the overall strength of the consumer. How much the consumer is willing to pay down, down payments, anything there? It's interesting just given where we are with such high used vehicle pricing is the fear eventually of a negative equity coming through in the years ahead instead of on your radar. Just love to hear your thoughts, again, just the strength of the consumer and how we should think in the next coming years?
Mike Jackson: Excellent question. And the other side of the coin on these premium values that is not fully understood, this is a huge win for consumers. Consumers are very happy that the value of the 275 billion vehicles on the road in America that they own, has appreciated in value. And this is very meaningful to them. And it's one of the underpinnings of why business remains so good. Customers just are thrilled that what they thought is worth so much some years ago, and it gives them confidence in their brand and confidence that they're making good decision and most of them are looking at a trade in value here for the difference between what their vehicle is worth and what they're buying as the key component. So, when it comes to the automobile, the American consumer is looking at it as, “Well, hey, this is my freedom. This is my independence, in this horrible COVID area. I can go where I want, care who is in the vehicle with me. And, oh, by the way, I'm looking pretty smart, because my vehicle is worth more than what I thought it was going to be at this point. And maybe I can trade it for a reasonable difference on something that is a bit newer with fewer mileage or is completely new.” So once you see that in the behavior of the consumers and the attitude of the consumer, it's a positive to the business in total.
Stephanie Benjamin: Got it, understood. Well, thank you so much.
Mike Jackson: Absolutely.
Operator: [Operator Instructions] We take our next question from David Whiston from Morningstar. Please go ahead. David Whiston, your line is open.
Joe Lower: David, we're not hearing if you're speaking.
David Whiston: Sorry, guys, can you hear me now?
Joe Lower: We can.
David Whiston: Can you hear me now? Okay.
Joe Lower: Yeah.
David Whiston: Okay, sorry about that. As you were talking a few minutes ago about how consumers are basically in several buckets in terms of some will buy close to what they want, some will just use, some will just say talk to you next year. But, compared to a few months ago, are we seeing more people are more willing to buy not quite what they want or are more people are starting to say I'll just wait till it gets better?
Mike Jackson: It's really one of those all of the above. So you have consumers to say that's close enough. And I understand the pricing in this environment. And I want to move ahead with the purchase. And then, obviously, the fact that we're down to 5,000 vehicles in stock or 6,000 vehicles in stock means there is significant demand there. But we have far more demand than we have shipments coming through us or inventory. And so, a significant number, we give them a choice around the nearly new pre-owned. That's going very well. But I have to tell you, the pent-up demand is building. And all that is awaiting into 2022 and 2023. So there is a down wave of pent-up demand that is building. And even though we are growing our business and had an 18% increase in revenue, it's not like we're exhausting demand out there at all. So I'm very pleased on the pre-owned side for AutoNation. We're clearly taking market share with our brands and our aggressive acquisition strategy. We're selling everything we can. On the new side, we're selling deep into the pipeline. Consumers have shown that they expect waiting 30 to 60 days. And they're not switching necessarily to built-to-order, but they're definitely buying the pipeline. And we're giving them visibility into what's coming. And they make a pre-selection and are comfortable waiting. But at the end of the day, the demand is building, not declining.
David Whiston: Okay. And do you believe GM and Ford will follow through after the chip shortage and run at low inventory levels than pre-pandemic?
Mike Jackson: I couldn't hear the question, sorry.
Joe Lower: Could you repeat that please, David? Was it GM and - did you say GM and Ford?
David Whiston: Yeah, I was saying, do you believe that they will follow through after the chip shortage and run at lower inventory levels than before the pandemic, like they're saying they will?
Mike Jackson: Oh, yeah. So, listen, I think that this God awful, unbelievable pandemic, that no one in the history of mankind would ever wish for, there are learnings for the industry that have been taken to heart. I really believe that the production push, liquidation, instant gratification business model that has been corrosive for the auto industry is in the dustbin of history. And not that I believe the situation as we have it now, where they can't even produce at, let's say, trend to supply both the fleet business and the retail business at a reasonable run rate, I'm not saying we're going to run here at this where we are today. But I think going back to the days of production push, and liquidation, and all the destructive behavior that comes with that, including damage to the consumer in the value of their automobile and value in the portfolio of the manufacturers in their finance company, I think there is an epiphany like, “Why would we ever want to go back to that. We have an historic opportunity to take deeply learned lessons here and find a new way forward.” That's what's in discussion with every manufacturer. And I think that paints a brighter future for our industry at every level, manufacturer, supplier, retailer, and here's what everybody misses. It's better for the consumer. You're protecting what they invested, and are behaving in a much more rational way. And I think that's the future of the auto industry. So out of every horrific thing you go through, there should be indelible lessons that you don't forget. And I think that's where the auto industry has concluded.
David Whiston: Yeah, I agree with you. And last question, are you worried about inflation next year impacting consumers' ability to buy a vehicle?
Joe Lower: David, what was the word you used, worried about inflection?
David Whiston: Inflation.
Joe Lower: Inflation, I'm sorry.
Mike Jackson: So, this is a very good question. Thank you for asking it. So, of course, we're watching inflation and the CPI. And you see the big component that, that pre-owned is in that. And everybody is going, “Oh my god, the sky is falling, inflation, inflation, inflation.” What they've missed is the consumer is very happy with that pre-owned valuation that they own, that the 275 million vehicles on the road in America are worth more. That has made the consumer happy, not unhappy. They own those vehicles. So once you see the other side of the coin, that consumers are not unhappy about this, they don't consider it inflation. They'd say, “Oh, I made a pretty good investment here in this vehicle, it's worth more. And if I want to sell it, I can get a nice check. And if I want to trade it, I have a reasonable difference.” As soon as you realize that the consumer doesn't view that as inflation, but as a win for them, then you understand our optimism and our confidence about the future of automotive.
David Whiston: Okay, great. That's helpful, Mike. Congratulations. Thank you.
Mike Jackson: Thanks, thank you.
Operator: [Operator Instructions]
Mike Jackson: All right, excellent. I think we've answered every question today. Thank you for all your questions. I'm not going to say over the years, [listening to this, I'm going to say over the decade, how is that for a] [ph] statement. I'm very grateful for them. And I wish you all nothing but the best. Thank you for joining today.
Operator: This now concludes today's conference call. You may now disconnect your lines.